Operator: Good day, ladies and gentlemen, and welcome to the MDxHealth Full Year Results and Business Update Conference Call. As a reminder, this conference is being recorded. At this time I would like to turn the conference over to Troy Williams of LifeSci Advisors. Please, go ahead. Pardon the interruption. Please standby. We are experiencing momentary delayed. Please, stand by.
Unidentified Analyst: These forward-looking statements are subject to inherent risks and uncertainties. These risks and uncertainties are detailed in the company's most recent annual report. MDxHealth expressly disclaims any obligation to update any such forward-looking statements to reflect any changes in its expectations with regard there two or any change in events, conditions, or circumstances on which any such statement is based unless required by law or regulation. I will now turn the call over to Michael McGarrity, CEO of MDxHealth.
Michael McGarrity: Thanks, David and thank you all for joining us for our 2021 full-year release of results for MDxHealth. With me today is Ron Kalfus, Chief Financial Officer. We believe we are at a clear turning point in the growth of MDxHealth and that this growth will be sustainable. While we have continued to face headwinds of patient flow and sales rep access associated with the pandemic, we are confident that in 2022, these will all begin to turn to growth driving tailwinds. I will speak to the specifics of and the basis to our view. And Ron will comment on our financial and operating results for the quarter and year. But first, let me point to a few highlights. Our Q4 revenue grew by 46% over Q4 2020, and our full-year 2021 revenue grew 20% over prior year, demonstrating our efforts to continue to drive adoption of our clinical pathway menu for prostate cancer even amidst the lingering impact of Delta and Omicron variance associated with the pandemic. These growth rates are particularly encouraging in light of the clear impact of the pandemic on cancer screenings, with prostate cancer screening rates estimated to be down 50%, coupled with sales rep access limited by a similar factor. Absent any surge in the pandemic variance, we are trending toward our pre -pandemic volumes for both Confirm and Select. We expect this trend to continue and drive sustainable growth going forward. We also are confident that our sales team is engaged in driving both our total ordering physician base and are committed clinical pathway adoption within that base. Internally, we view these metrics as the critical drivers of adoption, unit growth, and revenue. As restrictions ease, patient flow returns, and Rep access reopens, we will begin to report on these metrics. Our patient flow has been particularly impacted as our current menu is pre -cancer diagnosis. This is an important delineation as it lends itself to a greater restriction of patient flow compared to patients already diagnosed with cancer. And while prostate cancer rates have elevated during this period due to delayed screenings noted, and positive biopsy rates will likely trend higher for a period. We believe this reflects our underlying growth as we return to normal dynamics in the market. Our total ordering urologists has not been adversely affected through the pandemic. And we view this as a leading indicator of our return to growth. It should also be noted that while our test volume increased modestly in 2021 in spite of these factors, our accelerated revenue growth reflects our demonstrated commitment to operating discipline and advancement of our payer coverage and associated reimbursement for our Confirm test. We are confident that the same growth leverage will apply to our comparable SelectMDx test volume beginning in 2022, with the finalization of the MolDx foundational LCD, covering our Selected indication. Moving to our market introduction of a urinary tract or UTI testing service in the last quarter of 2021, we are encouraged by our progress based on a number of leading indicators. First and foremost, our diligence around the market, competitive landscape, and alignment of the UTI test with our focus into urology, and fit an adoption within our current menu customer base has been confirmed. Second, we are beginning to see adoption of our UTI offering even amidst the market and excess challenges noted. Finally, we expect UTI testing services to begin contributing to revenue in 2022 and will provide additional comment on our view forward and guidance for 2022. But first, let me turn the call over to Ron for a review of our financial and operating results for 2021. I'm sorry for 2020. Ron.
Ron Kalfus: Thank you, Mike. The pandemic has indeed continued to present challenges throughout 2021, not just for MDxHealth, but across the diagnostic sector. While volumes remain choppy during the year and grew modestly over 2020, we were able to grow our revenues at a higher rate, thanks to improve revenue cycle management and higher average selling prices. Total revenue for 2021 was $22.2 million, an increase of 20% as compared to total revenue of $18.5 million for 2020. Services revenue amounted to $21.9 million, an increase of 21% as compared to $18.1 million a year earlier. Revenue from ConfirmMDx represented over 90% of service revenue for all periods. Gross margins for the year were 47.5% For 2021 as compared to 43.6% for 2020, representing a growth margin improvement of 390 basis points primarily related to a higher average selling price. Operating expenses for 2021 were $37.4 million up 6% from $35.2 million for 2020, excluding non-cash expenses such as depreciation, amortization, and stock-based compensation, operating expenses for 2021 were $33.1 million, an increase of 10% over 2020, primarily driven by R&D expenses related to our future product pipeline. Turning to payer coverage, we are awaiting a final local coverage determination or LCD for our Select [indiscernible] tests, which we expect to be issued by Palmetto by mid-year. As you may recall, a draft LCD for biomarkers for prostate cancer published by Palmetto GBA under its MolDx program, citing evidence of the clinical utility of SelectMDx was issued in May of 2021. Finally, we ended the year with $58.5 million in cash, strengthened by gross proceeds from our January equity raise of €25 million, approximately $30 million and in November initial public offering on the NASDAQ of $45 million. This concludes my brief overview of the results. I will now turn the call back to Mike. Mike.
Michael McGarrity: Thanks, Ron. I hope it is clear that even amidst the challenges presented by this environment, Ron and I and our entire team across all of our operating functions remain committed to and believe in our focus on execution and our clear path to drive growth. We are very excited that all the fundamentals are in place and that our turnaround of key operating areas and sales talent is complete. All of these factors provide visibility to and confidence in the following guidance for 2022. We expect revenue of between $25 million and $27 million, which would equate to revenue growth of between 13% and 21% over our 2021 revenue of $22.2 million. We expect our SelectMDx tests to be issued a final Medicare coverage decision and contribute to revenue and gross margin accretion in the second half of the year. We expect UTI testing, which services we introduced in late 2021, to also begin to contribute to revenue and gross margin accretion in the second half of the year. And we will provide more clarity of that contribution at the mid-year release. We expect to advance our menu expansion into active surveillance to provide additional growth opportunity and we will update on our progress and timelines again at the mid-year. Finally, we believe that our current and expanded offerings will drive our growth based on our earned reputation for laboratory service, accuracy, turnaround time, and menu that will drive standardization to MDxHealth. In fact, we know that we are only as good as our customers think we are, and we like that expectation. So as we look forward, MDxHealth is committed to being a growth company as defined by my experience with Stryker, which means that we will deliver sustainable growth based on a commitment to focus on execution. And that will serve as the foundation for value creation for all of our stakeholders, including patients, customers, employees, and shareholders. Thank you for your interest in and support of MDxHealth. And now I will turn the call back over to Kevin for questions.
Operator: [Operators Instruction] Our first question today comes from Jason Bednar of Piper Sandler.
Jason Bednar: Hey, good afternoon. Thanks for taking the questions here. A few from us today. I guess, first, the test volumes were a little lighter than what we were thinking, but I guess curious if you could quantify at all the headwinds you may have been seeing out there from Omicron. And then how you'd characterize patient flow into practices and resulting test volumes here, just the last few months is really moved through the worst of the Omicron wave. Maybe talk about the exit velocity that you've seen maybe from January to February.
Michael McGarrity: Yeah, hey, Jason. We think that -- I think not unlike a number of the diagnostics companies and I think that's where I pointed to a little bit of the difference between our patient population and associated flow pre -diagnosis versus cancer diagnosis. But we are beginning to see those patient floor come back. I think that there was a little bit of a carryover from the end of the year into Q1 with choppiness on the opening and sales rep access and particularly at least what we've seen with staffing and capacity within practices. We expect those to turn and we'll be reporting on that turn here as we come out of Q1 and into Q2.
Jason Bednar: Okay. Alright, that's helpful. Thanks, Mike. And I guess maybe as we think about menu expansion for the business with the active surveillance program. I guess how should we be handicapping the timing of a potential launch for introduction here? I mean, you would given some thoughts later this year. Is that updating timing later this year or is that truly something where we could expect to actually have something on the market later this year, just to clarify that?
Michael McGarrity: Yeah. I think the reason why I'm pointing to mid-year as for 2 or 3 reasons, Jason, that I think we're noting, right? As we expect really good visibility on a couple of the key drivers. Number 1, the coverage of our Select test. 2, really good visibility to our UTI introduction uptake and view forward on volume, payer coverage and adoption through our customer base, and our active surveillance. So we would expect to give pretty, pretty clear expectations up potential launch dates, but we would not expect or anticipate any contribution to revenue or P&L for those in 2022.
Jason Bednar: All right. That's helpful, looking forward to that later this year. And then I guess your final one for me, just totally appreciate the -- all the details around guidance for the year, very helpful. Is there any way to desegregate maybe what you're assuming internally with respect to volumes versus price gains for Select and Confirm what inflection in revenue maybe you might be baking in once that final LCD is received by mid-year as we are all expected to occur. And then any other additional detail you'd be willing to provide on like, what's assumed for UTI, those points there would be helpful. Thank you.
Michael McGarrity: Yeah, Jason. So we think our unit volume for both Confirm and Select will begin and continue to accelerate from here into the mid-year and that's part of the view that we'll provide there. As far as coverage, we'll have much better visibility to our Select. We've made real progress on the Confirm side with three factors; our revenue cycle management, our cash collections, and our coverage, driving additional payer coverage. So when we look to Select, we expect the same to really provide -- I think if you look at our inclusion in the NCCN guidelines, we expect that to -- plus our focus in driving of the pathway to take the unit volume and then from a revenue perspective, we'll get visibility to our coverage from Medicare.  And that would begin to contribute to our revenue in the back half of the year. So we expect that to start in Q3. And we just want -- we just don't want to get ahead of any expectations there as far as what contribution and the timing. But we're confident in our coverage and the contribution beginning. And we will give you good visibility to that for the back-half of the year at the mid-year.
Jason Bednar: All right. Perfect. Thanks so much.
Michael McGarrity: Thanks. Chris.
Operator: Our next question comes from Kevin DeGeeter of Oppenheimer.
Kevin DeGeeter: Hey guys, thanks for taking our questions. Maybe just wondering, UTI, can you just comment on the early experience on reimbursement, kind of how some of your customers are thinking about the ability to receive reimbursement or existing codes, sources, miscellaneous, and just kind of where you -- maybe an updated perspective on how we might be thinking about ASP for that product.
Michael McGarrity: Yeah. So Kevin, we're -- we like what we see on a couple of different clients from a UTI perspective, and I will highlight them again because I think it's important to note that we're really looking forward to providing some good number guidance. What we'd like to do is confirm a couple of things. Number one, the fit with our call point and our sales reps focus on our current urology customer base; that's been confirmed. Number two, that we can drive adoption into that base from a unit volume perspective and adoption of our test; that's been confirmed. Number three, that if we look at the market, we segment it as those customers that are using traditional culture methods, and those customers that are using one of the other main competitors and those customers that are using one of the other main competitors. And I would say that we want to be able to confirm that we can position ourselves well, either due to better turnaround, better test, or better standardization focus of rep and laboratory; that's been confirmed. As far as the reimbursement payer mix, we have good visibility to payer coverage. What we want to get is a little bit more data as we have with Confirm and Select, with regard to our particular mix, the reimbursement rates from those, both Medicare, commercial, private payers, and then be able to give you a view of the average sale price. But I would say we haven't seen anything in our experience to-date that would change any of our view as to our, A; launch of fit into our test, and B; the growth it can provide our business.
Kevin DeGeeter: Perfect. And then just maybe one more from us, and that's just on the sales force in particularly the U.S. commercial organization. Your current thinking on opportunities to perhaps expanding and extend that network in 2022. And specifically, as we think about that LCD update, is that a potential inflection point for a more investments -- more aggressive investment into the commercial infrastructure. I'm just trying to kind of put that in the context of the revenue guide.
Michael McGarrity: Yeah, Kevin, I got that. We're not -- our revenue guidance does not imply any additional sales, spend has or add to our sales force. We think at this point based on our 2022 projections and guidance, we're right-sized. We also -- if we feel we can accelerate growth as patient flow returns and all these factors flip, as we know they will, then we'll do that. But it's not incorporated or factored into our 2022 view at this point.
Kevin DeGeeter: Extremely helpful. Appreciate the update.
Michael McGarrity: Thanks, Kevin.
Operator: And we can now go to Mark Massaro of BTIG.
Mark Massaro: Hey, guys, thank you very much for the questions. Recognizing that SelectMDx is a urine-based test pre -biopsy, and ConfirmMDx is a tissue-based test, post-biopsy. Is there any reason to think that Select is likely to perhaps outpace Confirm, just recognizing the sample type and where it sits in the workflow? And then a second part to that question. Are you seeing urologists holding back ordering SelectMDx because the Medicare decision is not finalized or are they ordering regardless of the reimbursement status?
Michael McGarrity: Thanks, Mark. A couple of points to make. Number 1. With regard to the adoption. We like the mix and profile of the two tests in our menu, because the Select market from a unit perspective, is significantly larger than the Confirm negative biopsy market. And yet the Confirm reimbursement ASP is likely meaningfully higher than the Select. So what we think that does is if we drive unit growth, which our sales team will be doing, then we like the way that just drives revenue. So if our Select volume goes where we know it will go and our Confirm volume continues to grow, we like that mix for providing really sustainable growth. As far as the Medicare coverage driving adoption, if you look at our adoption to date and our units for 2021, it's clear that we've been able to drive adoption of our UTI -- I'm sorry, our Select test into urology from a unit perspective. And it's candidly that has to happen. Because we have to demonstrate market appetite, market opportunity, clinical utility, clinical validity. The first thing payers are going to do is, is it being used? Sp we've demonstrated all that. I think that's been reflected in both the draft LCD and inclusion in the NCCN guidelines from a clinical utility perspective. So we kind of expect all that body of work to begin to drive both volume and clearly now, revenue because that's been a cost carrier for the business over the last 3 years since I've been here. And we're very much looking forward to the accretion of the gross margin that revenue coming over that volume provides. And the same with UTI. Hopefully that answered your two or three points in that question.
Kevin DeGeeter: Yeah, that's super helpful. So you did generate a nice -- you did generate a beat on Q4 revenue. You did come in a little bit lighter than us on volume. So you talked about improved revenue cycle management. Can you just give us a sense for, whether or not, you had any one time catch-up payments from prior quarters and then should we expect any of those, if any, later in 2022?
Michael McGarrity: No is the answer to that second part of your question. We acknowledge that predicting the units over the last few months and a couple of quarters has been challenging. And -- but what we feel very positive about is the predictability and projectability of our business based on our driving of units which we know will begin to become evident and obvious this year and then the real improvement progress we've made on coverage and collection. So no is the answer to have we -- are there any timing expects to urban? If you look at -- historically, Ron, we made some real changes to the way that we operate from a discipline perspective, from a revenue cycle management perspective, and from a payer collection perspective.  And that's what you are seeing in our -- the revenue growth getting a little bit ahead of the units. We like that difference, but we know that the other catches up and then it goes from there, so we don't expect any contraction on our average sale price as our collection patterns over the last couple of quarters. And we expect accretion on, obviously on the Select volume and the UTI volume.
Mark Massaro: Okay, great. And then my final question. Did you have any volumes for UTI s in Q4? I had a small number. I understand you soft launch it. I'm really just asking, has this -- has UTI been broadly commercialized across your commercial channel nationwide? And I guess I'd be curious if you could just speak to your confidence on understanding how reimbursement will play out for this test. I think it was asked earlier if these are existing or miscellaneous codes, but have you started billing for this test as well?
Michael McGarrity: Yes. So we did have unit volume in Q4; not material to report. We have now entered into a full launch with our salesforce and will begin to report our volume and revenue associated with UTI. We do expect it to contribute to revenue and we have had reimbursement experience with a variety of our payers, but I will tell you that Ron and I - and I'll give Ron credit for this. We just want to make sure that we have enough data and experience to be able to give you a good view forward of how we view that contributing to our revenue. So we have a clear understanding of the reimbursement landscape. And we have good visibility to that contributing to our 2022 revenue growth.
Mark Massaro: Okay, great. That's it for me. Thank you.
Michael McGarrity: Thanks, Mark.
Operator: Our next question comes from Thomas Franken of KBC Securities.
Thomas Franken: Hi, thanks for taking my question. Two from my side. First question is with regards to the Select test and the implications of the potential LCD coverage that are the anticipated LCD coverage that you're looking at in the coming months. To which extent would you see this as a catalyst for driving further coverage or reimbursement coverage on the price insurers as well?
Michael McGarrity: Yeah, Thomas, first of all, thank you for staying up late and joining us. We appreciate it. Yes, we kind of view that model is our experience with Confirm where and I think most comp tests in the space, right, were Medicare tends to be the catalyst, for broad commercial private payer coverage. And I will tell you that's our expectation. And we -- in advance of that, our coverage reimbursement team has already been very focused on getting payers up to speed on the clinical utility and the clinical value. And the update on the NCCN guidelines such that we would expect that to be the case. Again, as it did with Confirm.
Thomas Franken: Okay. Thank you. And secondly, on the UTI tool, we already talked a bit on how you look at reimbursement moving forward there. I was also wondering how you look at potential guidelines inclusions there. Is this also relevant aspects for UTI and how do you look at that?
Michael McGarrity: So different patient segments there with NCCN applying to our cancer menu, UTI being on the infectious disease side, but I would say that one of the key criteria for us entering the market was that the market itself -- the clinical utility or clinical adoption and need for more rapid highly multiplexed organism drugs, susceptibility test versus traditional culture methods is clear, we believe. And that was part of the criteria for us entering. So we believe that again, it's a different -- it's driven by different value propositions. But we think we have a good understanding of visibility to that, and the most important thing, Thomas I think is, we feel very good about the fit with our sales team, our reach, our customer base, and not being dilutive to our focus with our prostate cancer menu, we think they're very -- they go together very well in presenting a value proposition to the urologists.
Thomas Franken: All right. Thank you very much.
Michael McGarrity: Thomas, thank you.
Operator: As there are no further questions, that concludes today's conference call. We thank you for your participation and you may now disconnect.